Operator: Good morning, and welcome to AirSculpt Technologies Fourth Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. As a reminder, today's call is being recorded and we have allocated one-hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Dennis Dean, Chief Financial Officer at AirSculpt Technologies. Thank you. You may begin.
Dennis Dean: Good morning, everyone, and thanks for joining us to discuss AirSculpt Technologies results for the fourth quarter. Joining me on the call today is the company's Founder and Executive Chairman, Dr. Aaron Rollins and Chief Executive Officer, Todd Magazine. Before we begin, I would like to remind you that this conference call may include forward-looking statements. These statements may include our future expectations regarding financial results and guidance, market opportunities and our growth. Risks and uncertainties that may impact these statements and could cause actual results to differ materially from currently projected results are described in this morning's press release and the reports we will file with the SEC, all of which can be found on our website at investors.elitebodysculpture.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During our call today, we will also reference certain non-GAAP financial measures. We use non-GAAP measures in some of our financial discussions as we believe they more accurately represent the true operational performance and underlying results of our business. A reconciliation of these measures can be found in our earnings release as filed this morning and in our most recent 10-K when filed, which will also be available on our website. With that, I'll turn the call over to Dr. Rollins. Aaron?
Aaron Rollins: Good morning, and thank you for joining us on the call today. During the fourth quarter, we experienced a healthy bounce back, compared to the third quarter in our revenues and procedure volume led by strong contributions from our de novo centers. Our most recent cohort of new centers, which includes Boston, Toronto and Philadelphia, is off to a good start and we are very excited for the upcoming launch of our flagship London location. We continue to be incredibly pleased with the patient enthusiasm around all of our offerings, including AirSculpt Plus and AirSculpt Smooth, and we look forward to introducing additional innovative solutions that meet the needs of our patients. Our team accomplished a lot in 2022. The company's case volumes increased 18%. Revenue increased 27% and we generated cash from operations of nearly $25 million. We refinanced our debt, which will generate considerable interest cost savings. We added four new centers and aggressively built our de novo pipeline, positioning us for five openings this year. We started our international efforts with our Toronto opening as well. I am also excited to share that we grew our earned media share of voice from less than 1% in early 2022 to 30% in recent months. This incredible performance was driven by the PR we generated through our influencer partnerships and as a model we will be accelerating in the coming year. We will share more details on this exciting area of opportunity as we progress throughout the year. At the beginning of the year, we were very excited to announce the appointment of Todd Magazine as our Chief Executive Officer. Todd has over 30-years of experience in brand building and retail operations, including over a decade as CEO of Blink Fitness, a national fitness chain created by the executives at Equinox, the luxury leader in the fitness industry. Todd helps scale Blink from four locations when he joined well over 100 during his tenure. He brings strong leadership qualities to our team and he is an excellent addition as AirSculpt moves to its next phase of scaling growth both domestically and internationally. As previously announced, I have transitioned to Executive Chairman of the Board of Directors. And my focus and attention will be to work with Todd and the leadership team on vision strategy, clinical excellence and technological innovation. I plan on remaining active in discussions with the financial community as well. With that, let me introduce Todd to discuss more about why he joined AirSculpt and his near-term focus.
Todd Magazine: Thank you, Aaron, and thank you to everyone on the call for joining us today. I look forward to talking with many of you in the coming weeks and months. Let me start my comments by sharing why I decided to join AirSculpt. Well I did know the company, I quickly learned through lots of due diligence, that it was an incredible opportunity. First, I learned that it's a revolutionary procedure that transforms people's appearance virtually overnight, which to me was mind boggling given my time in the fitness industry and seeing the incredibly high failure rate of people, who spent years trying to change their appearance. Second, I discovered that AirSculpt is truly in a category of one. No company or technology can do what AirSculpt can do, which enables us to recruit some of the very best plastic surgeons in the world. Third, I learned that our unit economics are very strong with de novo locations that get to profitability within their first year and provide a significant return on invested capital. And finally, I learned that the tailwinds in the broadly defined aesthetics category are very strong with a tremendous runway of opportunity. Despite all of this, I also learned that our brand awareness is still not where it needs to be and our footprint is just scratching the surface of all the opportunities that exist domestically and internationally. As you would expect, my focus over the coming months is to help the team deliver on our top and bottom-line goals. However, I will also be focused on three critical strategic areas. First, we will strengthen the organization by bringing in additional talent and improving our processes. Second, we will focus on revenue growth, which includes ramping up our de novo expansion program. And third, we will right size our cost structure and strengthen our capabilities to support a much bigger and more robust fleet of centers. I joined this company, because I saw an opportunity to make AirSculpt the undisputed leader in the global body contouring space. Now that I am part of the team, I'm even more confident that this objective is well within our reach. I look forward to leveraging my experiences of building brands, and scaling businesses to help Dr. Rollins and the talented team at AirSculpt grow stakeholder value. In a minute, Dennis will walk you through our fourth quarter results, as well as our guidance for 2023, but before I turn things over to him, I'd like to share a few high-level comments. Our fourth quarter revenue was in line with our guidance and a significant improvement versus our prior quarter and our fourth quarter last year. This performance demonstrates that the softness we experienced in Q3 was an anomaly, particularly given the fact that we have seen our momentum from Q4 carry into Q1 of this year. In fact, I'm happy to report that we are on track to meet our first quarter revenue expectations. Turning to Q4 profitability, we were impacted by the investments we made in 2022 to bolster our infrastructure. Objectively, the company got a bit ahead of its keys on these investments and did not make the proper adjustments fast enough to impact our end of year financials. As I stated previously, rightsizing our cost structure will be a top priority of mine. We will share more details on this area as we progress throughout the year. Looking forward, we are committed to delivering very strong year-over-year growth on both the top and bottom line with margin expansion in the back half of the year driven by our cost management initiative. Let me now turn the call over to Dennis to walk you through our financials and our outlook for the year. Dennis?
Dennis Dean: Thank you, Todd. Our revenue for the quarter was $40.7 million, an 8.4% increase over the prior year quarter. Our growth was led by approximately 16% increase in case volumes, which was primarily due to the addition of four de novo centers versus the prior year base. As of December 31, 2022, we operated 22 centers versus 18 at the end of 2021. Our average revenue per case for the quarter was $12,200, a 6% decrease over the prior year's quarter driven by both procedure mix and some promotional activities, but we're still within our target range of $12,000 to $13,000. Thus far in the first quarter of 2023, we are seeing an average revenue per case at the midpoint of our projected $12,000 to $13,000 range. Our cost of service as a percentage of revenue was 38.7% versus 34.8% in the same period last year. The increase is primarily related to the addition of clinical staff to support our growth, which Todd spoke of in his remarks, and our customer acquisition costs for the quarter was approximately $2,300. For the quarter, our adjusted EBITDA was $9 million and our adjusted EBITDA margin was 22.1%, which was a decline versus the prior year quarter and lower than our expectations, primarily due to our revenue per case being on the lower end of our projected range and a lack of progress related to rightsizing some of our infrastructure costs. Our liquidity position continues to be very strong, our cash position as of December 31, 2022 was $9.6 million and our $5 million revolver remains undrawn. Our gross outstanding debt was $85 million and our leverage ratio at the end of the quarter is calculated under our credit agreement was 1.75 times. Cash flow from operations for the quarter was $6.6 million, which represents an adjusted EBITDA conversion ratio of 73%. For the full-year 2022, our conversion ratio was 56%. We invested $2.2 million primarily related to opening new centers and when he had a use of cash from financing activities of approximately $2.4 million primarily due to tax related payments related to certain vesting of equity-based compensation. In our earnings release this morning, we provided a non-GAAP measure reflecting adjusted earnings per share diluted. For the quarter of $0.07 and $0.37 for the full-year. We provided this measurement as a result of our interactions with shareholders and believe this presentation presents useful information to investors by highlighting the impact to earnings per share of selected items used in calculating our adjusted EBITDA. We expect another healthy year of free cash flow generation in 2023 with improved adjusted EBITDA conversion ratio due to our focus on margin expansion. We expect our primary uses of cash flow will be to fund growth investments for the business such as adding de novo centers and driving technology innovations. We also expect to continue to strengthen our balance sheet throughout the rest of the year positioning us to consider stock buybacks, debt paydowns and dividends. This morning, we introduced our 2023 revenue guidance range of $187 million to $192 million, representing 11% to 14% increase over 2022. We expect contributions from our de novo centers to drive the magnitude of the year-over-year revenue growth. We expect to open our Austin and Irvine locations later this month and we are on track to open our flagship location in London in May. Our final two de novos, Raleigh and San Jose are expected to open late in the third quarter, which will give us a total of five new centers added in 2023. Our adjusted EBITDA guidance is $48 million to $50 million, which represents year-over-year growth of 11% to 16% and margins of approximately 26% at the midpoint of both revenue and EBITDA guidance. Underpinning our guidance is the expectation that the second quarter will continue to be our strongest quarter, while we expect the seasonal patterns in the back half of 2023 to be similar to that of the back half of 2022. As we are almost 2.5 months into the first quarter, we are also providing a first quarter revenue outlook of approximately $43 million and adjusted EBITDA outlook of approximately $10 million. With that, I'd like to turn the call over to the operator for some questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Simeon Gutman with Morgan Stanley. Please proceed with your question.
Simeon Gutman: Thanks, everyone. Good morning. My first question is on the relationship between case center volume and the new centers or new facilities. At one point, the spread was greater meaning case volumes were running greater than the number of new openings. Now it's flipped. My question is how should we think about that relationship, granted that new centers are not opening at 100% productivity? But should that be something that these two metrics narrow over time?
Dennis Dean: Hey, thanks for the question, Simeon. So from a de novo outlook, the majority of our case volume increases are still coming from those facilities. One from centers that we've opened up in the quarter, but also two from those centers that are “in our same-store metric” that are still continuing to ramp up. So we're seeing the majority of our volume increases from those. But I would point to also Simeon when you look back at the third quarter, our same-store volume was about 7.6% off of the prior year. And in the fourth quarter, we're actually 1.1% up. So I think it just kind of shows that we had a healthy bounce back, not just in adding the de novos, but also in our existing centers.
Simeon Gutman: And then a quick follow-up. Todd mentioned some expense items just to sharpen up. Can you talk about the expense items? You mentioned there were some promotional initiatives I guess that hurt revenue, I guess, less so margin. Anything else about the economics of this business that can be tightened up as the growth story continues?
Todd Magazine: Hi, Simeon. This is Todd Magazine. How are you doing? Yes, let me just take that real quickly. I mean, really the focus for me and the team is going to be really those areas of our P&L that have really been growing at a faster rate than our revenue growth. So that's our focus area, as I said in my opening comments, we got a little bit ahead of ourselves in terms of some of those investments. And we're taking a hard look at those areas that are growing faster than our top line growth. And we're going to go hard at those and really try to make some progress there, particularly as we exit the year to get some margin expansion. So that's really our focus right now.
Simeon Gutman: Okay. Thanks. Good luck and see everyone next week.
Dennis Dean: Hey, thanks, Simeon.
Todd Magazine: Thank you.
Aaron Rollins: Thanks.
Operator: Thank you. Our next question comes from the line of Josh Raskin with Nephron Research. Please proceed with your question.
Josh Raskin: Hi, thanks. Good morning. I was wondering, could you just speak a little bit more about that change in rate in the quarter? I'm curious if you have a sense of, sort of, if it exists, sort of, a same-store, same procedure, pricing metric? And then are there any geographic variation or the new centers that are impacting rate? And then lastly, I heard the promotional activities, is that sort of traditional discounting or is that a little bit different? And is that promotional activity new relative to what you've seen in the past?
Dennis Dean: Hey, thanks, Josh. Yes, from a rate perspective, if you kind of look through the quarters, you'll see there's a lot of variability with our rate, it bounces from quarter-to-quarter, couple of reasons for that, obviously, acuity and the types of procedures, the case mix and those types of things. We can't really control who walks in the door. Obviously, as you know, but that's a component of it. And then we did take some promotional activities in the fourth quarter that did bring the rate down a touch there from what we had sort of forecasted. We had projected, sort of, to be in our high-end of our sort of projected range of $12,000 to $13,000 as you see that we came in on the low-end of that. And obviously that did give us a little bit of revenue shortfall from a rate perspective as well. And you know our conversion metrics within EBITDA are so high that little bit of rate did impact us from an EBITDA standpoint for sure.
Aaron Rollins: Josh, it's Aaron Rollins. I also want to let you know that we did do a lot of promotion in the fourth quarter and we did it, because the data showed it worked. And it definitely drove case volume. What we're going to do this year that's a little bit different is we're working on different ways to promote to actually drive ASP such as bundling and giving patient more value, but for a higher price point.
Josh Raskin: Okay. Got you, got you. And then second question just on the guidance for EBITDA, overall margin sounds like relative be flat in 2023. I heard margin expansion maybe in the second-half, so maybe there's a little compression in the first-half. But can we just revisit that, sort of, variable cost versus fixed cost base and why we shouldn't expect more of the revenue growth to translate into EBITDA margin expansion?
Dennis Dean: Sure. Just -- I'll, kind of, hit the variable component first. When you look at it from an EBITDA standpoint, about 53% of our costs are variable. So we still have a very high variable component. Obviously, the physicians and supplies would be the number ones there, as well as is our advertising numbers. But some of the expansion Josh is really related to us taking a more measured approach in our rates. Again, as I spoke of previously in the question, we have such a profitable profile on our revenue that we took a little more measured response in how we looked at rate going into next year. We think of $12,000 to $13,000 is kind of our range and we took a midpoint, which obviously is a little bit lower than where we finished out in 2022. But I think it's opportunity for us there and clearly because of the profitability aspect of it, it’s not giving us as much EBITDA margin expansion as you would probably expect. And, you know, Todd talked about the cost structure and the management of that, obviously whenever you start looking at a lot of things across the board, it takes a while and so that's why we're sort of assessing in the back half of the year of the impact there. And we think we'll probably get a couple million in year for that potentially we think on a run rate basis we're looking close to $5 million, so we're really taking a deep, deep dive into that.
Josh Raskin: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Korinne Wolfmeyer with Piper Sandler. Please proceed with your question.
Korinne Wolfmeyer: Hey, good morning, all. Thanks for taking the question and Todd, it's great to finally talk to you. I guess first question, kind of, bouncing off of that margin question. Could you just expand a little bit on what we should expecting for gross margins going forward? I mean, it did take a pretty heavy step down in ’22? Is that kind of the proper run rate we should be looking at going forward? Or what kind of expansion could we seen there?
Dennis Dean: Thanks, Korinne. We are extremely focused on a 30% margin. We believe that this business should be in that range or above that range. Clearly, this past year, we've invested a significant amount, and I think, again, Todd in his comments, he has talked about that as well as how we've invested considerably and maybe got ahead of ourselves a little bit there. So that obviously impacted our margins in the current year. But again, that 30% margin range is something we're extremely focused on. And again, we think it's definitely reasonable to look at it from a long-term perspective.
Todd Magazine: Yes, Korinne, this is Todd. Nice to chat with you. Thanks for the question. Just to add on to what Dennis said, we're pushing hard on this. As Dennis said, we think we could accomplish a couple of million probably this year, but we think on a run rate basis as we turn the page on the calendar at the end of the year that, that number should annualize to something closer to $5 million. And so we're very focused on margin expansion I've looked at this in my relatively short time here and I would tell you that there's no reason this business couldn't have 30%-plus margin. And our focus really is to obviously continue to drive the top line aggressively, but also to really obviously go after some of these investments that need to be right sized for our cost structure. So we're very focused there and I think we feel good about going after that and we just need a little time to get some of that in the bank over the coming months and quarters.
Korinne Wolfmeyer: Got it. That's very helpful. And then just on some of these new center openings. Can you just talk about what you're seeing in terms of ramp and productivity of these new centers and kind of what's baked into expectations this year? And then also, kind of, along those lines, what kind of visibility do you have into potential case volume for some of these new centers or really the London One, that's maybe a little bit more different than how a traditional U.S. center would operate. Thank you.
Aaron Rollins: Yes, this is Aaron Rollins, hi. So something that we are doing this year that we haven't done before and the thing of your question is, four of our de novos this year are actually opening up in States we're already in. And that gives us the opportunity to train our doctors actually in the existing center in that State, so that we can attempt to accelerate our de novo ramp by instead of having two to three months of limited case volumes, free cases for training, et cetera, et cetera. Actually be doing real cases at real prices day one, and this is our first foray into doing that. But we're able to do that in actually four de novos this year. Obviously, London is a completely different story. I'll tell you that after our calls today, I'm off to London for a press tour, and I'd say this is the most robust de novo marketing we've ever had. I have around 20 press interviews in London on Sunday and we've never seen interest like this before. We also have a wonderful doctor pipeline there. We just signed another wonderful doctor, who we're really excited about. And even one of our doctors from the U.S. is licensed in the U.K., and we'll be pinch hitting there sometimes, Dr. DelVecchio. So all I can tell you is that I haven't been this excited about the de novo in a long time and I'm expecting really good things from London. In terms of the London ramp, there's no way I can really say what that's going to look like.
Korinne Wolfmeyer: Awesome. That's great to hear. Thanks so much and looking forward to next week.
Todd Magazine: Thanks. Me too.
Operator: Thank you. Our next question comes from the line of Parker Snure with Raymond James. Please proceed with your question.
Parker Snure: Hey, thanks for the question. Yes, this is Parker on for John Ransom. So I just want to go back on the promotional activities, so is this centered around the new de novos and just trying to ramp up productivity when they're brand new? Or is this centered around some of the existing facilities? I guess I'm just trying to get out is there, kind of, weakening demand in the same-store cohort or are you just trying to kind of ramp up the new cohort? And then just kind of going back on that, I believe you're previously kind of talking about, hey, you have the ability to potentially raise price in the future, but now you're maybe kind of talking that down a little bit and doing some promotional activities. So just think about what are you seeing in the consumer and your ability to kind of raise price or your pricing dynamics going forward? Thanks.
Aaron Rollins: I'll take that. Thanks for the question. First of all, the promotional activity has been across the board, it hasn't been office specific. And we've used it because their data showed that it was an impetus for people to get the procedure, not that they wanted it or not that they didn't want it, but they perhaps would have delayed it. And we saw it to be a very effective tool in the fourth quarter. We did see a 16% increase in case volume over the fourth quarter, so it’s been great. However, I think how we promote going forward is something that we're working on in order to actually drive ASP by giving patients more value, but for a higher price point. Because if you want let's say your tummy done, which is our bread and butter, you have other areas too. And if we can ramp up our ASP and give the patient a little bit more value, it's good for everyone.
Todd Magazine: Parker, this is Todd. I'll just jump in on that. I would tell you; we're not seeing any indication of any kind of headwinds related to macroeconomic challenges. As we said before in the first quarter here, our rate is right back in line of where we historically have been and our case volumes growing very really nicely. So there's no indication that there's any headwinds broadly speaking here and we feel very good about the prospect ahead. So, we feel right now we're in a pretty good spot and we're excited about the balance of the year.
Aaron Rollins: We're also right now for the first quarter right at the midpoint of our range. So in terms of ASP, we're right where we want to be.
Parker Snure: Okay. And then you also mentioned or I know you guys have been rolling out some kind of ancillary offerings like skin tightening in the cellulite. How is that tracking just cross-selling and up selling on customers? And just anything that you can kind of note there?
Aaron Rollins: I'm glad you asked. Something that's important to understand about AirSculpt Plus and AirSculpt Smooth is that it's actually meant as a case driver. First of all, we want to be on the edge of technological innovation. We want to really offer the absolute best treatment in body contouring that exists, that's number one. But what we've seen with it now that we have more quarters of experience is that we're finding it's a case driver, whereas patients with really loose skin would have been told go get a tummy tuck or we can't help you. Now we can. We're also seeing new patients that we would never have treated before for cellulite and we're also doing AirSculpt on them. The only thing to understand about it is a lot of these patients don't -- our typical patient that's let's say has areas all over their body. They typically have let's say arms with like really loose skin and some fat. Instead of turning them away, we can treat them, but we're not doing their whole body. So as a case driver, it's been great. And as you see, that it really did drive cases in the fourth quarter and we're seeing that trend continue in the first quarter.
Parker Snure: All right. Thanks so much.
Aaron Rollins: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Dr. Rollins for any final comments.
Aaron Rollins: Thank you for listening and for your interest in AirSculpt. We're really looking forward to speaking with you next quarter, and I hope everyone has a good weekend.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.